Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2011 PPG Industries Inc. Earnings Conference Call. My name is Deanna, and I'll be the operator for today. [Operator Instructions] I would now like to turn the conference over to your host, Mr. Vince Morales, Vice President, Investor Relations. Please proceed.
Vincent Morales: Thank you. Good afternoon. This is Vince Morales, Vice President of Investor Relations for PPG Industries. Welcome to PPG's first quarter 2011 financial teleconference. Joining me on the call today from PPG are Chuck Bunch, Chairman of the Board and Chief Executive Officer; Bob Dellinger, Senior Vice President, Finance, and Chief Financial Officer; and Dave Navikas, Vice President and Controller. Our comments relate to the financial information released on Thursday, April 21, 2011. As a reminder to everyone, we have modified our quarterly earnings call process. Approximately 1 hour ago, we posted detailed commentary and accompanying presentation slides on the Investor Center of our website, ppg.com. The slides are also available on the webcast site for this call. We will not read those prepared remarks during the call. During the call, Chuck will share his perspective on the company's results in the quarter, and then we'll move directly to Q&A. This modified process allows substantially more time for Q&A, while providing a similar amount of data compared to our prior approach. Both the prepared commentary and discussion during this call may contain forward-looking statements reflecting the company's current view about future events and their potential effect on PPG's operating and financial performance. These statements involve uncertainties and risks, which may cause actual results to differ. The company is under no obligation to provide subsequent updates to these forward-looking statements. This presentation also contains certain non-GAAP financial measures. The company has provided in the appendix of the presentation materials, which are available on our website, reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures. For any additional information, please refer to PPG's filings with the SEC. Now let me introduce PPG's Chairman and CEO, Chuck Bunch.
Charles Bunch: Thank you, Vince, and welcome, everyone. PPG posted record earnings per share this quarter, marking the third consecutive quarterly record for the company. We have built on the strong performance and momentum from the second half of 2010. Our year-over-year sales improved 13% to $3.5 billion, with each major region posting double-digit percentage sales increases and higher sales in every PPG reporting segment. Higher volumes accounted for about 1/2 of our sales growth, led once again by stronger global industrial activity, which aided many of our businesses. The global industrial recovery continues with solid growth in emerging regions and North America, and with strengthening conditions in Europe. The higher European activity levels outpaced our expectations of a few months ago. Excellent volume growth was also a key factor in the record earnings performance by our Optical and Specialty Materials segment. In construction end-used markets, activity levels remained low in the developed regions, as these markets have not demonstrated any convincing signs of imminent improvement. Despite the market weakness, our volumes in businesses serving these markets were modestly positive in comparison with an already low prior-year base. Improved selling prices accounted for the majority of the company's remaining sales gains in the quarter. Every reporting segment posted higher year-over-year pricing, with the most significant percentage gains in Commodity Chemicals and Glass, resulting in substantial earnings recovery in these segments versus the recession-impacted first quarter of last year. In our Coatings businesses, higher selling prices partially offset persistent raw material cost inflation. Despite inflationary cost pressures, operating margins in each Coatings segment were essentially flat with the prior year, and our total Coatings operating earnings improved by nearly 12%. Volume and pricing gains were supplemented by continued aggressive cost management actions. We also expanded our product reformulation activities in an effort to utilize lower cost raw materials to limit inflationary impacts on our customers. Lastly, another growth lever for us is the continued deployment of our cash for earnings accretion. While our recent acquisition activity has been minimal, we repurchased about $275 million of PPG stock during the quarter, bringing our total repurchases over the past 9 months to about $700 million at an average share price of $81. As a result, our share count has dropped nearly 3% versus last year's first quarter. In summary, our performance in the quarter was excellent. Despite persistent inflationary pressures, our overall segment margins improved by more than 300 basis points in comparison with last year, and 150 basis points sequentially versus the fourth quarter of 2010. We posted double-digit sales growth on strong volumes and higher pricing and achieved record first quarter earnings per share. We also returned about $375 million of cash to shareholders, including $90 million of dividend. Looking ahead, we remain optimistic as we anticipate similar economic trends in the second quarter, which is seasonally our strongest sales quarter. We remain focused on offsetting inflationary pressures with expected additional price gains in the second quarter in all our businesses. Also, our aggressive cost management and execution focus remains. Finally, we continue to work on accretive initiatives to deploy our cash. We are applying our disciplined approach toward evaluating acquisitions and anticipate several small- to medium-sized bolt-on acquisitions over the next 6 to 9 months. Lastly, as a reflection of our outlook and our continued strong cash prospects, we raised our quarterly dividend another $0.02 today to $0.57 per share, which is our second increase in the past 9 months. That concludes our prepared remarks. Now, operator, would you please give instructions and open the phone lines for questions.
Operator: [Operator Instructions] And the first question will come from the line of David Begleiter, Deutsche Bank.
David Begleiter - Deutsche Bank AG: Thank you. Chuck, you mentioned in -- to combat raw materials reformulation using more Chinese TiO2, how much have you been able to offset TiO2 usage with reformulation, new technologies and Chinese sulfates?
Charles Bunch: I would say that still -- those reformulation or additional sourcing options, it would still be less or in low single-digit percentages in terms of our overall raw material usage.
David Begleiter - Deutsche Bank AG: And just on Q2, would you expect margin in Coatings to be up in Q2 year-over-year?
Charles Bunch: I would say our Coatings margin should be comparable to the margins that you're seeing. I think you're going to have some improvement in our seasonally stronger businesses in the second quarter. But I would say that the margins would be comparable.
David Begleiter - Deutsche Bank AG: Thank you very much.
Charles Bunch: Thanks, David.
Operator: And the next question will come from the line of Bob Koort, Goldman Sachs.
Robert Koort - Goldman Sachs Group Inc.: Thanks. Chuck, I guess, we've heard sort of different accounts of pricing in U.S. architectural. Your European competitor talks about not really seeing price yet at the big boxes. We had Sherwin on today talking about their own stores really pushed through some -- a series of price hikes. Can you sort of give us an appraisal of the landscape by channel regarding pricing, specifically in the U.S. market?
Charles Bunch: Well, what I would say is that it is probably company specific. From a channel standpoint, we are -- obviously the products and formulations are similar with each channel. So I think the pressure, the raw material pressure exists across the board. We were able to implement price increases in the first quarter in all channels. Obviously, we are experiencing here in the second quarter additional raw material inflation on a year-over-year basis and sequential basis. So we're weighing our options and looking at the marketplace, talking with our customers. And so I would say we're evaluating additional actions as we move into the second quarter and through the rest of the paint season.
Robert Koort - Goldman Sachs Group Inc.: Could you address what's going on with the auto builds globally and the impact from Japan, and will we even notice it in your numbers? Or is that a small-enough piece auto OEM that's affected that it won't be that noticeable?
Charles Bunch: There was no real impact in the first quarter from the tragic events in Japan because it was just at the end of the first quarter. I would say there is going to be a small impact in the second quarter, minimal in terms of the overall PPG sales. I would say now, we're looking at something on the order of a 1% impact on overall PPG sales in the second quarter from what I would call lower build in the second quarter versus the initial forecast, probably concentrated more in the Japanese OEMs but affecting others more broadly. We do not participate directly in any automotive sales in Japan, but we do supply those customers outside of Japan, especially here in North America and in Europe. But our overall forecast, if we say we're going to -- it'll impact the total company to the order of maybe 1% of sales in the second quarter, we would anticipate making up those sales from an industry standpoint by the end of the year. So if you look at the full year impact, we don't see it as sustaining, and actually, we think there'll be some catch-up in the third and fourth quarters but an impact that's going to be concentrated in the second quarter.
Robert Koort - Goldman Sachs Group Inc.: Great. And 1 man's opinion, I like the new format. So I'll get back in line hopefully to have another question at the end.
Vincent Morales: Okay. Thank you, Bob.
Operator: And the next question will come from the line of Frank Mitsch, BB&T Capital Markets.
Frank Mitsch - BB&T Capital Markets: Following up on the commentary, you're talking about looking at TiO2 substitutes in Chinese pigments and you were focused -- it looked in the commentary on the architectural EMEA, the European business. Can you comment on your progress in terms of that? I mean, have you fully looked at it across the entire PPG Coatings platform and decided that those sort of moves in utilizing less TiO2 was more germane to Europe rather than the rest of the region? Am I reading too much into that? Where exactly are you on that process?
Charles Bunch: No, I'd say we're doing this broadly. We use -- TiO2 probably has the highest concentration as you know, Frank, in the architectural businesses. But we do use TiO2 in our other Coatings businesses. So this is an across-the-board initiative on the part of PPG to expand our sourcing supplies. So every business has targets, has goals, has qualifying additional suppliers. But we are not trying to, in any way, take quality out of our formulations or products. So we're looking right now to just expand sources of supply to give us more opportunities and to look more globally at these suppliers, at these products. And we're obviously having some success in expanding our supply base.
Frank Mitsch - BB&T Capital Markets: All right. Fine. So I read too much into the commentary that it was mostly -- that it was in the European side, it's really across the board as to what you're looking at?
Charles Bunch: Yes.
Frank Mitsch - BB&T Capital Markets: All right. And then you made the comment that the volumes called 6% 7% up for the entire company, and across each region it was about roughly the same. So I was a little bit surprised by that moment of thought that you might have seen faster growth here or there. So basically, you're seeing as much growth in Europe and in Asia. And continuing on the volume side, you mentioned that pricing -- you're expecting pricing gains in the second quarter, which you also expect volume gains in the second quarter.
Charles Bunch: Well, first, on a regional basis, I would say that we experienced volume gains in all regions led by Asia Pacific, followed by Latin America and North America. And in Europe, we had volume gains, but they weren't to the extent that we saw, certainly in Asia and not as much here but there were certainly volume gains. And again, focused on those industrial -- on the industrial and automotive markets, so principally we had volume gains in Architectural in Europe but very modest.
Frank Mitsch - BB&T Capital Markets: All right, and you would anticipate continued volume gains in the second quarter as well?
Charles Bunch: Yes, we think that this is continuing. With the point that Bob Koort brought up in the last question about we will see in the second quarter the impact on the supply chain in Automotive OEM, especially with the Japanese manufacturers. But aside from that, we still see growth continuing in our markets and broad in terms of the end-use markets and the regions.
Frank Mitsch - BB&T Capital Markets: All right. Terrific. Thank you.
Vincent Morales: Thank you, Frank.
Operator: And the next question will come from the line of P.J. Juvekar, Citi.
P.J. Juvekar - Citigroup Inc: So several questions on this Chinese TiO2. But isn't that mostly lower quality sulfide production? And is that good enough for European paints?
Charles Bunch: Well, we continue to work on our processing initiatives. As you know, we have built a very large business in every end-use market in coatings in China. We have now close to $1 billion in sales there. So we have extensive experience now with local or domestic production. And we've learned, in many cases, how to work more successfully with these products. So I wouldn't say it represents any sacrifice in terms of the quality of products or processes that we're using.
P.J. Juvekar - Citigroup Inc: And typically, how cheaper is that pigment compared to pigment that you would -- TiO2 that you would buy in U.S. and Europe?
Charles Bunch: At this point I would say it is less expensive. Modestly so, but it is less expensive and represents a good opportunity for us in both supply security and economic value.
P.J. Juvekar - Citigroup Inc: Okay. And just lastly, you look at European architectural margins, you're still about less than half of that of U.S. performance businesses. So as you improve manufacturing there and use less-expensive TiO2 and all that, where do you think you can take those margins to?
Charles Bunch: Well, we have 2 points. 1, in the first quarter is a seasonally low quarter for any, let's call it Northern Hemisphere Architectural business. So those margins in Europe in architectural will move up in the second and third quarters, and they have done a good job so far on very limited volume improvement in offsetting the inflationary increases. And also, you have to remember that we still have purchase price accounting at work in our EBIT reported segment earnings for architectural EMEA. So if you look at it on an EBITDA basis, our full year returns on an EBITDA basis are into the low teens. And so we think that the ability to sustain those margins to have excellent cash flow in this level of construction market activity in Europe has been successful. And we think there'll be more gains in the future, both as the market improves and as we continue to work on supply chain and cost improvements.
P.J. Juvekar - Citigroup Inc: Thank you. And Vince, your natural gas hedge is completely off now, the higher cost ranges that you had?
Vincent Morales: No, P.J. Just to refresh everybody, we have higher pre-2010 hedges in, primarily in our Commodity Chemical business but also a small portion in our Glass business. We have -- they're in the range of between $7.50 and $8 depending on the quarter. We had about just under 20% in the first quarter hedged. And that bleeds off, P.J., at about 1% per month. For the full year, we're about 12% hedged at $7.50. So we're continuing to experience that as a tailwind as we go throughout the year based on current market price.
P.J. Juvekar - Citigroup Inc: Thank you.
Vincent Morales: Thank you.
Operator: And the next question will come from the line of Kevin McCarthy, Bank of America Merrill Lynch.
Kevin McCarthy: Question on chlor-alkali. It seems as though the market's tightened a fair amount in the wake of the crises in Japan. Can you talk a little bit about your price realizations there? How much is flowing through? And then secondly, I understand you declared force majeure at Natrium 2 days ago. Maybe you could comment on whether that's just going to be a brief interruption or whether you would anticipate any meaningful impact on 2Q there.
Charles Bunch: First, I'll take the pricing discussion for chlor-alkali. Of the supply demand for caustic soda and for chlor-alkali more broadly has tightened up with the -- in light of the events in Japan. They were a large exporter of air production to other areas of Asia Pacific. So we have now -- we haven't seen and we didn't see an impact in the first quarter. Second quarter demand will remain high. Pricing has solidified. We have, on the chlorine side, we have a $60 increase that is currently being implemented here at the beginning of the second quarter. We have, on the caustic side, a $40-a-ton increase that has already been implemented at the end of the first quarter. And an additional $60-a-ton increase that is being, has been announced and is in the process of being implemented here in the second quarter. So the pricing environment has strengthened in chlor-alkali, and we see that continuing now for certainly through the next couple of quarters. On the force majeure declaration at our Natrium plant a couple of days ago, that was at the end of a scheduled outage. And as we started up the plant, we ran into a couple of equipment issues. We are making good progress now in bringing that equipment back, and now we're talking, let's say on the order of days for this force majeure and the outage rather than any additional outage, let's say rather than weeks or something more serious. So there was no catastrophic event, but we just did have some equipment issues as we started back up from that outage, but we're confident that this thing is -- it's positive here and we should have some good news in the coming days.
Kevin McCarthy: Okay, that's good to hear. And then just as a follow-up, Chuck, what is the status of the pending bolt-on acquisition that you have in the Pacific Northwest on chlor-alkali? And maybe you can comment on kind of the background of that deal, how it helps you.
Charles Bunch: Equa-Chlor, we expect to close on that deal on the 2nd of May. So it is in process. And for us, this was an attractive bolt-on acquisition. It actually fit strategically with the rest of our footprint here in North America. We thought that there was excellent synergies for PPG, both in terms of our operations. And we have not been a major player for a number of years on the West Coast. And actually, the acquisition has been welcomed I think by the market and some of our customers as increasing our flexibility and our ability to support them. So for us, it's a small bolt-on. I think the timing is good with the improvements we're seeing in the Chlor-Alkali business here in North America. It has a solid customer base, and we think this is a logical and very nice acquisition opportunity and clearly a bolt-on for us in this business.
Kevin McCarthy: Okay. Thank you, Chuck.
Operator: The next question will come from the line of John McNulty, Crédit Suisse.
John McNulty - Crédit Suisse AG: Just a couple of questions. In the Optical business, you noted that there was going to be some higher growth focus and some incremental advertising and selling costs, is that something that -- how should that be hitting the margin? Is it something where it'll be an incremental hit, or does it just offset some of the positive leverage with sales going higher?
Charles Bunch: I think what you'll see John is, we think that it will improve our growth trajectory in the business. We have some exciting new product developments on the Transition side, which is the biggest single business in that Optical and Specialty Materials segment. And I would look to see those margins sustain themselves but bring us a little stronger top line growth and comparable bottom line margins.
Vincent Morales: I'll remind you, John, the business has some seasonality to it, as well.
John McNulty - Crédit Suisse AG: Okay, sure. Thanks a lot. And then with regard to your TiO2 supplies, it sounds like you're looking for a broader supplier platform. In terms of the contracts that you're looking for, are you setting things up for longer term in the event that there may be supply issues that the market actually starts to further tighten here with the U.S. or European markets getting better on the housing front?
Charles Bunch: Well, I would say that the -- I wouldn't say our contract practices or policies have changed. We do try to contract to the extent that we can with most of our major suppliers. So we have contracts in place now with TiO2 and with other major raw materials. And we try to the extent possible, to protect our interest going forward with these contracts in the event that there are supply disruptions or issues.
John McNulty - Crédit Suisse AG: Okay, great. Thanks a lot.
Operator: And the next question will come from the line of Bill Young, Chemspeak.
William Young - Longbow Capital: You mentioned maybe switching to some other polymer technologies in order to mitigate raw material costs. Could you expand a little bit on that, please?
Charles Bunch: Well, I think the entire industry, the entire coatings industry is faced with the increasing cost pressures that we've talked about in TiO2 and other commodities. TiO2 does provide -- as you know, the principal benefit of TiO2 is its hiding powers in paint formulation. So all of the industry, not only the coatings companies, but I think all of the broader non-TiO2 chemical suppliers are looking and working on initiatives -- research initiatives to develop either new formulations or new products that can go into our paint formulations that will minimize the amount of TiO2. And some of those projects, and for those of us who have been around for many years, we can remember when we had a lot of these substitute type of products that were actively in development. Some of those continued through the years, but maybe without the same emphasis. And I think you've seen from everyone in the industry now a focus on research and development to help offset what has been, obviously, 1 of the most inflationary raw materials in our basket.
William Young - Longbow Capital: Well, I think, I don't know, 10, 15 years ago, Rohm and Haas introduced what they called ropaque, and do you think that had any meaningful impact? And how about the second generation types of products along these lines?
Charles Bunch: Why, yes, I remember the days of the ropaque polymers from Rohm and Haas. And I think they had some general acceptance in the industry and were used. And I don't know that those uses were growing over time, but certainly, now, with the Rohm and Haas assets being in Dow's portfolio, we've seen a number of initiatives and announcements from Dow that they're putting more emphasis and more research behind those products. So they haven't gone away. And I think in many cases now, the non-TiO2 producers are working hard to come up with products that they feel will help the coatings companies with this raw materials supply and pricing issue.
William Young - Longbow Capital: Okay. Thank you.
Vincent Morales: Thanks, Bill.
Operator: And the next question will come from the line of Dmitry Silversteyn, Longbow Research.
Dmitry Silversteyn - Longbow Research LLC: A couple of questions as most of mine have been answered. First of all, when you talk about up to maybe 1/2 dozen acquisitions of the bolt-on nature that you're getting ready to complete over the next 6 to 9 months, are they likely to be -- can you give us an idea of where they would be geographically? And business-wise, are you looking to take advantage of some opportunities in the chlor-alkali land perhaps to expand your footprint, or is it going to be confined to the coatings market?
Charles Bunch: Our focus is, although not exclusively so, it's going to be primarily in the coatings space. And geographically, we have talked in the past that we wanted to improve our position in the emerging regions or the developing regions. Those have, in some cases, proved to be somewhat challenging. The 1 acquisition that we made in the fourth quarter of last year, which was Bairun in China, was 1 that we were able to complete there. But I would say geographically, we've broadened the search now. We've also included Latin America. We're also looking at Europe where maybe the growth prospects aren't as strong, but where we have already a very well-established position and that would give us an opportunity for more cost synergies to get us through what has been a lower growth environment here for the past couple of years, but strengthen our position where we are already well situated.
Dmitry Silversteyn - Longbow Research LLC: All right. That's helpful. And on the second question I just want to make sure I understand the volume in foreign exchange impacts in the EMEA decorative coatings, as well as volume growth in Commodity Chemicals.
Vincent Morales: What's the question, Dmitry?
Dmitry Silversteyn - Longbow Research LLC: The question is, what's the volume in foreign exchange contributions to the European Coating Paint business? And what is the volume contribution to the commodity, and if there is any foreign exchange in there as well?
Vincent Morales: In the Architectural Europe business, currency was negligible less than 1%. And in Commodity Chemicals, currency was -- make sure I got the right number here, again, virtually negligible, rounding to 1%.
Robert Dellinger: Chuck mentioned in Architectural Coatings EMEA, it's pretty well split between volume and price.
Dmitry Silversteyn - Longbow Research LLC: Okay. So about 3 1/2% to 4% in each then? And [indiscernible] chemicals of the 27%, 28% growth that you saw, I would imagine it's mostly price but was there any positive volume?
Charles Bunch: Yes, there was positive volume, but you're right, the bulk is price.
Dmitry Silversteyn - Longbow Research LLC: All single-digit volume?
Charles Bunch: Yes.
Dmitry Silversteyn - Longbow Research LLC: Okay. That's all I have. Thank you.
Operator: And the next question will come from the line of John Roberts, Buckingham.
Gaji Balakaneshan - Buckingham Research Group, Inc.: This is Gaji Balakaneshan sitting in for John. First question, aside from nat gas prices and maybe the random force majeure, is there anything you see that could affect commodity chemical profitability for the rest of the year?
Vincent Morales: Well, again, I the biggest driver there, Gaji, is demand. Demand remained strong. Chuck mentioned the unfortunate events in Japan have constrained supply, at least temporarily. So we've said since the beginning, or the end of the year, we remained bullish on this segment and that still holds true today. That we feel good about the supply-demand economics. We do have that tailwind from natural gas, so we feel good about the segment.
Gaji Balakaneshan - Buckingham Research Group, Inc.: Okay. And then with the constant rising inflation for commodities, at what point do you start getting concerned about demand destruction? Maybe not with your customers but from the economic activity in general?
Charles Bunch: I would say that it's a concern for, I think, not only our company but every company. I mean we went through, as we all know, in 2008 -- in the first half of 2008, we had very solid global growth, a lot of inflation especially on the oil and petrochemical side. And it ended badly with a financial crisis, Lehman and the like in the second half of the year. So I think inflation is a concern for any business, but in terms of where we see economic growth or the macroeconomic conditions, we think it's still solid. Now we're going to have probably more inflation, and I think as you see companies that are in the middle of the supply chain like we are in many of our products as we push through the inflation that we're receiving on a lot of these raw materials or metals and we push them through to our customers, it will lead to more inflation at the consumer level where you really haven't seen it as much here in this country. But we have a weak dollar and you have strong growth outside, so I think the risk here is that inflation heightens, especially in the U.S. And that crimps the buying power of the consumers and threatens some of the nice recovery we've had in end-use markets like automotive.
Gaji Balakaneshan - Buckingham Research Group, Inc.: Would you say that -- just to follow-up on that, would you say that your margins are higher than back in '08 when we last saw these price levels in commodities? So maybe that -- it seems like everybody has higher margins this time around, so maybe that demand destruction started happening earlier that it would have in '08 if we didn't have the price shock $140-barrel oil.
Vincent Morales: Gaji, I think that if you look at our margins, 2 big deltas versus '08. 1, we took a tremendous amount of cost out during the recession in coatings. I don't have that specific number in front of me, but hundreds of millions. And secondarily, were still down close to 10% in volume. Now we've worked hard to offset price in raws. But volume and cost are the 2 big deltas versus '08. And one's positive, obviously, and one's negative to margins.
Gaji Balakaneshan - Buckingham Research Group, Inc.: Okay, Great. Thanks for to help.
Operator: And the next question will come from the line of Don Carson, Susquehanna.
Donald Carson - Susquehanna Financial Group, LLLP: Thank you. A follow-up on chlor-alkali, Vince, what was the sequential increase in ECU pricing and the roughly $170 of ECU increases on the board? What do you think the sequential progression could be in Q2 and Q3?
Vincent Morales: We don't give specific pricing, Don, for obvious reasons, commercial reasons. But we did get our fair share of the caustic increase. Chlorine held fairly stable throughout the quarter. And as Chuck mentioned earlier, we have 2 price nominations for Q2 that, based on recent market events, I think, he would feel good about them or emboldened about them.
Donald Carson - Susquehanna Financial Group, LLLP: So do you expect what, to give out half of those in Q2, maybe, and the balance in Q3?
Vincent Morales: Historically, based on historical perspective, that's probably accurate.
Donald Carson - Susquehanna Financial Group, LLLP: Okay. And Chuck, back in '08, chlor-alkali was a nice hedge against rising coatings raws, and that business should be up nicely this year. I mean, how much of the increase in your coatings raw materials do you think the improved chlor-alkali earnings this year could potentially offset?
Charles Bunch: Well, it's going to be a significant assist to us on this, and we have appreciated in the past the offset that we get sometimes in these really inflationary periods. So we're going to see, we think, in the improvement year-over-year in chlor-alkali. We're going to offset quite a lot of that coatings raw material increase. On an overall corporate basis, we don't tend to look at it like that but from an external standpoint, we're certainly there. We try to evaluate these businesses on their own.
Donald Carson - Susquehanna Financial Group, LLLP: Okay. And then just a follow-up on Coatings, you mentioned that America's and Asia's architectural volumes were up. Was that all in Asia? What did your U.S. architectural volumes do this quarter and...
Charles Bunch: U.S. -- okay go ahead.
Donald Carson - Susquehanna Financial Group, LLLP: And then just wondering if you'd sort of segregate that by channel and make any market share comments whether you're up or down.
Charles Bunch: The volume improvements in Architectural Coatings were modest. We're talking low single-digits. We had more improvement in terms of top line sales from pricing initiatives. And we're obviously facing lots of raw material initiatives there. So we had some modest volume improvements. And I would say that it was, from a channel perspective, I would say it was about even. We have a slightly different quarter here, Easter is later this year, the weather has been a little slower. So there are a few little offsets, so I think the real trends will probably be more evident after the end of the second quarter. But we certainly think we've come up slightly off the bottom. And most of the things that I've seen out there in terms of some of the commentary around commercial construction or even residential is that maybe were going to have modest improvement and that was the case in Europe as well. So a little bit of volume, mostly more price and I would say I'm not -- I haven't seen other announcements and I think it's too early to say there'll be any significant share change for PPG right now.
Donald Carson - Susquehanna Financial Group, LLLP: Thank you.
Vincent Morales: Thanks, Don.
Operator: And the next question is a follow-up question from the line of Frank Mitsch, BB&T Capital Markets.
Frank Mitsch - BB&T Capital Markets: Yes, just a couple follow-ups, on the chlor-alkali side, I'm trying to figure out here that you're going to lose some volumes with the force majeure and the turnaround. But it seems like pricing in the second quarter is going to be higher, significantly higher than what you had. And so my question is, as I look at the calculus there, are we looking at a second quarter that could be slight to up from the first quarter?
Vincent Morales: Commodity chemical, second quarter, Frank?
Frank Mitsch - BB&T Capital Markets: Correct, yes. I mean, you've got -- obviously you're taking a volume hit but your margins are going to be -- your margin per ton is going to be higher.
Vincent Morales: 3 moving parts there, Frank. 1, the downtime. So a fewer tons. The second would be the maintenance costs will be higher, which is multimillion dollar shifts higher in maintenance costs. And you're exactly right, we do expect stronger pricing to compensate, if not more than compensate for that.
Frank Mitsch - BB&T Capital Markets: All right. And then as we look at it in the third quarter, you're just going to start the quarter at a higher level and then you'll get the tonnage back. All right, fair. And then Bob, you mentioned that you bought back, or Chuck mentioned in his speech, you guys bought back $275 million worth of stock. And you also mentioned that you feel very good about adding some bolt-ons on the M&A front over the next 6 to 9 months, does that preclude any additional actions on share repurchase? How are you thinking about that?
Robert Dellinger: It doesn't preclude any additional action. But we have been certainly saying we're looking for activities that are earnings accretive, which should be share repurchases and acquisitions, to the extent acquisitions are running at a higher level, we'll dial down the share repurchases. And we still feel very good about the stock price. It's still at a point where share repurchases are attractive.
Frank Mitsch - BB&T Capital Markets: All right. And now you're paying a higher dividend on it, so that helps you as well. Thanks a lot.
Vincent Morales: Thank you, Frank.
Operator: And the next question will come from the line of Brian Maguire, Goldman Sachs.
Brian Maguire - Goldman Sachs Group Inc.: Thanks for taking my question. Obviously, an admirable job keeping margins flat at the Coatings businesses, and I noticed in the press release some commentary about aggressive cost management. And given that you guys did a great job of pulling costs out during the downturn and were kind of at the point of the business cycle where companies are usually adding them. Just wondering if you could expand on where you're seeing those opportunities, and if that could continue throughout 2011 to keep offsetting, continuing higher raws?
Charles Bunch: Well, I would say that we haven't been able to completely offset raw material increases with pricing. But we have continued to get favorable volume, which is helping us. And cost initiatives, we're always working on these. We haven't had any announced restructurings since 2009. But we continue to try to look for ways to run our businesses more efficiently. But I wouldn't say that we have significant new cost initiatives outside of what we're trying to do on a regular basis.
Robert Dellinger: I'd say that as the volume comes back, we're being very disciplined on controlling corporate overhead. And therefore, we're seeing overhead as a percent of that incremental volume growth at much lower levels.
Brian Maguire - Goldman Sachs Group Inc.: Okay, that makes sense. And then if I think about your business in terms of incremental margins, thought about it being in a range of 30% to 40% and you were kind of in that range this quarter. Obviously that gets tougher to do as you go on and as we get closer back to prior peak levels. But given that we're still -- volumes are still maybe in the order of high single-digit percentages below prior peaks, can we still get in that range on that volume growth and still get that kind of leverage? Or are we maybe moving it down a decile here?
Robert Dellinger: We're comfortable with that range well into this year, Brian.
Brian Maguire - Goldman Sachs Group Inc.: Okay. Great. And then just 1 housekeeping thing, could you tell us what the quarter-ending share count was?
Charles Bunch: It's in the press release.
Robert Dellinger: 160.5, I think.
Brian Maguire - Goldman Sachs Group Inc.: Got you.
Charles Bunch: Diluted.
Robert Dellinger: Diluted.
Brian Maguire - Goldman Sachs Group Inc.: All right. Thanks very much.
Operator: [Operator Instructions] We do have another question, it is a follow-up from the line of Dmitry Silversteyn, Longbow Research.
Dmitry Silversteyn - Longbow Research LLC: Quick question, excuse me, on a comment that was made earlier in answer to 1 of the questions. When you talked about margins, you said that they should be comparable in the second quarter to what we see. I just want to make sure, comparable to what we saw in the first quarter or comparable to what we saw a year ago?
Robert Dellinger: Dmitry, our business is very seasonal...
Charles Bunch: So it would be year-over-year.
Robert Dellinger: So it would be year-over-year.
Dmitry Silversteyn - Longbow Research LLC: Year-over-year. Okay, that's what I wanted to make sure, because otherwise it was really scary. Okay, thank you.
Robert Dellinger: Thanks for the clarification.
Operator: And there are no more questions in the queue at this time. I'd like to turn the call back to Chuck Bunch for closing remarks. Please proceed.
Charles Bunch: Thank you very much for your attention, and all the good questions that we had. And we look forward to talking to you again at the end of our second quarter. So thank you very much.
Operator: And thank you, ladies and gentlemen for your participation. This concludes today's presentation. You may now disconnect, and have a great day.